Operator: Greetings. Welcome to MIND Technology First Quarter Fiscal 2026 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Zach Vaughan. Thank you, sir. You may begin.
Zach Vaughan: Thank you, operator. Good morning, and welcome to the MIND Technology Fiscal 2026 First Quarter Earnings Conference Call. We appreciate all of you joining us today. With me are Rob Capps, President and Chief Executive Officer; and Mark Cox, Vice President and Chief Financial Officer. Before I turn the call over to Rob, I have a few items to cover. If you'd like to listen to a replay of today's call, it will be available for 90 days via webcast by going to the Investor Relations section of the company's website at mind-technology.com or via a recorded instant replay until June 18. Information on how to access the replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Wednesday, June 11, 2025, and therefore, you're advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control that may cause the company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filings with the SEC, including in its annual report on Form 10-K for the year ended January 31, 2025. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in our press release issued yesterday, and please note that the contents of our conference call this morning are covered by these statements. Now I'd like to turn the call over to Rob Capps.
Robert P. Capps: Okay. Thanks, Zach, and thank all of you for joining us today. Today, I will discuss some highlights from the quarter. Mark will then provide a more detailed update on our financials, and then I'll return to wrap things up with some remarks about our outlook. As expected, MIND's results for the first quarter were down sequentially after a record fourth quarter. However, the decline was greater than initially anticipated after several customers were unable to take delivery of approximately $5.5 million of orders prior to quarter end. These delays are due either to late delivery of certain third-party components or difficulty in arranging shipping. But these are timing issues, not lost business. As I reminded you repeatedly, a slippage of a few weeks or days for a large order can have a significant impact on a particular period. We expect to deliver these orders in the second quarter. Despite these delays, cash flow from operations again grew during the quarter to about $4.1 million, which is an indication of our improved liquidity. We remain bullish on the balance of this fiscal year despite the shortfall in the first quarter and expect a much improved second quarter. MIND has established a more resilient business with greater order visibility, a strong demand environment and a much improved balance sheet and capital structure. We will almost certainly encounter other timing issues at some point in the future. But to the extent possible, we are working to mitigate the potential impacts on our financial results. We are doing everything in our power to control what we can control. We're focused on optimizing our supply chain to manage lead times on components to meet the delivery requirements of our customers. Our inventory levels over the past 6 months have been a great evidence of this as we're now using our improved visibility to draw down our inventory balances. As a result, we believe MIND remains strategically positioned for growth, improved financial results and profitability in coming periods. Our backlog of firm orders as of April 30, 2025, was approximately $21 million compared to $16.2 million as of January 31, 2025, and approximately $31 million as of April 30, 2024. Beyond this backlog, we have an active pipeline of pending and highly confident orders and prospects that are well in excess of our current backlog of received orders. The order for our GunLink 4000 system that we announced yesterday morning, which is not included in the above amounts, is a great example of these prospects. The combination of our existing backlog and this active pipeline bode well for strong financial performance as we progress through fiscal 2026 and beyond. Now as we approach the summer months, I want to remind you that orders -- new orders don't always arrive at a constant rate throughout the year and order flow is often sporadic. The variance between in order flow is commonplace and not cause for concern. We also believe that recent uncertainty in the global economic environment has caused some delays in purchase commitments. Despite this, in recent weeks, we have identified new opportunities. We think this bodes well for the balance of this fiscal year and beyond. We continue to benefit from 3 main product lines: our GunLink source controllers, BuoyLink positioning systems and SeaLink streamer systems. All 3 of these are meaningful contributors to our backlog and will continue to drive improvements in financial results going forward. As a whole, our Seamap business enjoys a strong market position with each of its products, even a dominant position in some cases. Our backlog and pipeline of orders are almost entirely comprised of these products, and I'm confident that the favorable market dynamics will enable us to generate many new orders in the future. We're also seeing a number of new promising opportunities related to our products that I hope to be able to update you on later this year. Another component that has meaningfully contributed to the sustainability of our improved financial results is our aftermarket business. Historically, approximately 40% of our revenue comes from this aftermarket activity. However, in the first quarter of this year, the aftermarket activity represented approximately 71% of our revenues. Now this was expected due to the deferral of some system sales, as I discussed a moment ago. As our installed base of Seamap products continues to expand, with it comes the chance for aftermarket opportunities such as spare parts, repairs and support services. As a reminder, our products are deployed in a very harsh environment and damage is common and often inevitable. We are in the final stages of an expansion of our facility in Huntsville, Texas, which will enable us to provide additional repair and manufacturing services from that location. During the expansion, which has been in progress for the last couple of quarters, our revenue-producing activities have been impaired. However, with the completion of these modifications, we expect the contribution from this location to build during the balance of this year and beyond. We anticipate this becoming a meaningful part of our revenue stream. Now turning to our results. Marine technology product revenues for the first quarter of fiscal 2026 were $7.9 million. As I mentioned, we expected a natural sequential contraction in revenue after an exceptional fourth quarter. However, we saw approximately $5.5 million of orders slide to the right. We will continue to capitalize on macro tailwinds and customer engagement to stimulate order flow and generate improved results. We have deliberately worked to improve our execution, efficiency and cost structure. We expect these efforts to deliver favorable results in future periods. Despite broad-based macro uncertainties in recent months, general market conditions within the marine technology space continue to be strong. We see a number of opportunities and continue to field inquiries and respond to requests for quotations. As a result, we are making additional investments to further develop and advance our next generation of marine technology products to meet the evolving needs of our customers. I'm confident that our differentiated approach and best-in-class suite of products will continue to give us the competitive advantage to address the demand we see within the marine technology industry. Now I'll let Mark walk you through our first quarter financial results in a bit more detail.
Mark Alan Cox: Thanks, Rob, and good morning, everyone. As Rob mentioned earlier, revenues from marine technology product sales totaled $7.9 million for the quarter, which was down approximately 18% from the same period a year ago. Revenue was impacted by the timing of $5.5 million of orders that were unable to be delivered prior to quarter end. We expect these orders to be delivered in the second quarter. We're continuing to see strength in all our key markets and the favorable customer demand environment gives us confidence for improved results over the balance of fiscal 2026 and beyond. First quarter gross profit was $3.3 million. This represents a gross profit margin of 42% for the quarter. Both of these metrics were impacted by lower revenue during the quarter, stemming from the delivery delays addressed in Rob's opening comments. The lower revenue resulted in less cost absorption and drove the year-over-year decline. Revenue increases in the second quarter and our cost structure continues to benefit from greater production efficiencies, we expect these metrics to improve. Our general and administrative expenses were approximately $3.4 million for the first quarter of fiscal 2026. This was up both sequentially and compared to the same quarter a year ago. The sequential increase is partially expected due to normal seasonality of certain costs. However, our first quarter expense included nonrecurring costs related to a restructuring of our U.K. operation and tax analysis surrounding the preferred stock conversion last year. I think it's worth noting that the tax analysis confirmed our understanding that the preferred stock conversion did not limit or impair our U.S. tax attributes, primarily tax loss carryforwards. Our research and development expense for the first quarter was $380,000, which was down compared to the same quarter a year ago. Consistent with prior periods, these costs were largely directed towards the development of our next-generation streamer system. Operating loss for the first quarter was approximately $658,000 compared to operating income of $730,000 in the same quarter a year ago. First quarter adjusted EBITDA was a loss of approximately $179,000 compared to adjusted EBITDA of $1.5 million in the first quarter a year ago. As I mentioned earlier, the first quarter was impacted by approximately $250,000 of nonrecurring expenses related to restructuring and tax-related professional fees that would have otherwise resulted in positive adjusted EBITDA for the quarter. Net loss for the first quarter was approximately $970,000 compared to net income of $954,000 in the same quarter a year ago. As of April 30, 2025, we had working capital of approximately $22.8 million, including $9.2 million of cash on hand. Liquidity continues to be impacted by our operational requirements such as acquiring inventory and executing on our backlog of orders. However, we did generate approximately $4.1 million of cash flow from operations in the first quarter. This was an improvement of approximately 98% sequentially. The company continues to maintain a clean, debt-free balance sheet with a simplified capital structure following the conversion of the preferred stock to common stock in the third quarter of fiscal 2025. We believe our solid footing and flexibility will further enhance stockholder value in future periods. I'll now pass it back over to Rob for some concluding comments.
Robert P. Capps: Thanks, Mark. Our efforts to transform the company in recent years have positioned MIND for long-term success. The strength of our balance sheet has made MIND more resilient, financially flexible and has opened the door for us to pursue value-enhancing strategic opportunities as we strive for growth. We also continue to benefit from significant customer interest and engagement related to our Seamap product lines. Our current visibility, strong backlog and robust pipeline also give us optimism for favorable financial performance for the balance of this year. Additionally, we are continuously exploring innovative ways to expand and repurpose our existing technology for new applications. I'm excited for us to actively chase these new initiatives and opportunities in the coming periods. Now given we spoke with you only a little over a month ago, not much has meaningfully changed in the political and economic landscape. There is still a moderate level of uncertainty present in the market related to tariffs and other trade restrictions. I'll remind everyone that the vast majority of our revenues are generated from our Singapore subsidiary and a similar proportion of our production activity takes place either in our Singapore or Malaysia facilities. Furthermore, in fiscal 2025, almost 95% of our revenue was derived from customers outside the United States. Accordingly, our import and export activity through the United States is quite limited. Due to this, we do not currently anticipate a material direct impact on our business from the imposition of additional tariffs -- trade tariffs by the United States or other countries. As noted earlier, uncertainty in the global economic environment can cause our customers to delay purchasing decisions. Of course, this is a fluid situation, and we continue to monitor the evolving dynamics. As we touched on last quarter, we recognize no matter how compelling our recent momentum has been, MIND is still a small company. And with that comes inherent challenges. We've taken necessary steps to strategically position ourselves to realize our full potential and enhance shareholder value. We intend to evaluate all opportunities that present themselves with a focus on adding scale, expanding our offerings and growing existing product lines. This approach should enable us to strengthen MIND and improve its standing within the market for the benefit of all shareholders. The macro environment remains advantageous for MIND, which gives us optimism for the future. Our marine technology products continue to penetrate a variety of industries and markets. We believe our backlog of firm orders and pipeline of pending orders and other prospects are reflective of the significant demand and market adoption of our product lines. As a result, we expect a meaningful increase in revenue in the current quarter. This will enable us to achieve positive adjusted EBITDA and return to profitability in the second quarter. Barring any unforeseen circumstances, this is a standard we expect to meet for the remainder of the year. Looking forward, we will continue to control what we can control. Customer delivery requirements and other factors may impact future periods. However, we expect the general trend will be one of improved results in fiscal 2026 and beyond. We have a solid backlog and significant pipeline of pending and highly confident orders. Both are supported by the robust customer interest and engagement that we are seeing within our key markets. We are also pursuing several new opportunities within our existing and future markets, which I'm confident will bear fruit in the near future. We have a differentiated and market-leading suite of products, a favorable market environment and a clean capital structure. I'm confident we will deliver another great year in fiscal 2026 as we strive to enhance stockholder value. And with that, operator, we can now open the call for some questions.
Operator: [Operator Instructions] Our first question is from Tyson Bauer with KC Capital.
Tyson Lee Bauer:
Kansas City Capital Associates: On the 5.5 delayed delivery, have those been delivered as of yet? And are they mainly comprised of 1 or 2 systems?
Robert P. Capps: Partially delivered. There was a large -- one large system and then a few other orders. So it's a little bit of both. So partially delivered, but not completely yet. So those -- it will be soon, though.
Tyson Lee Bauer:
Kansas City Capital Associates: So on an accounting practice, those remain in backlog finished goods. You're expecting those deliveries take place in the second quarter. So that full cash cycle should be complete by the time you end Q2?
Robert P. Capps: Yes. From a billing standpoint, yes. From a cash cycle, collections may or may not have happened at that time. But yes, from a standpoint, absolutely.
Tyson Lee Bauer:
Kansas City Capital Associates: Okay. On the tax loss carryforwards, after you did your analysis, what did you determine as the amount that you reasonably have that could be used in the future?
Robert P. Capps: It's about USD 80 million of NOL carryforward roughly.
Tyson Lee Bauer:
Kansas City Capital Associates: Now the problem with that is you have to generate in the U.S. You just commented 95% is out of Singapore. So how do you, as a management team, unlock that value? And either that comes from U.S.-generated business or partnering with somebody who has U.S. business that can utilize your tax carryforward. And isn't typically in that kind of activity, a business combination that value on a stand-alone about 25% of what the listed value is.
Robert P. Capps: You hear all sorts of numbers about that. It really depends on the circumstances, Tyson. I mean you have to be careful about subsequent ownership changes, which we can limit that. But there certainly are ways to take advantage of that and try to shift more income into the U.S. There are -- you understand that under the U.S. tax laws now, we're taxed on worldwide income with offsets for what you pay overseas. So there is some benefit there. So there are ways to utilize that. So I think there is value there to us. Is it 25% of face value? I'm not going to speculate on that, but there is certainly value there we think.
Tyson Lee Bauer:
Kansas City Capital Associates: I mean if it was, that's literally half of your enterprise value is just in something that's in an accounting treatment.
Robert P. Capps: That's the way the numbers work.
Tyson Lee Bauer:
Kansas City Capital Associates: Yes. That's really untapped value that's gone unrecognized by the marketplace. A couple of days after you reported last quarter or the fiscal year-end, we see Trump doing an executive order for deep sea offshore resources. China is in the news for increasing their activity for deep sea mining and rare earth elements. Those things may be further down the line, but there seems to be a lot more attention in and activity in regards to those industries that could potentially utilize your technology in finding these things. Are you seeing that on your customer base that, that is an area and an opportunity that could develop in the years coming?
Robert P. Capps: I think so. What we're seeing is some of our existing customers and potentially new customers are looking to go further afield in what they've done historically and use some of their expertise in that sort of survey type work, exploration survey work. And our products, especially the SeaLink product line is right in the wheelhouse for that sort of thing. So that's very encouraging for us.
Tyson Lee Bauer:
Kansas City Capital Associates: Now in the past, you've done some master supply agreements with some of the bigger worldwide customers, especially those out of Norway, Scandinavian countries. Do you have any currently active? And is that an approach that you see as favorable for MIND as you go forward to either renew or to develop those master supply type agreements?
Robert P. Capps: We certainly have those type agreements with some of our larger customers, which is, again, a framework for general terms, doesn't address specific orders, but it does give us a framework. So we certainly have those in place today and are looking to put others like that in place. And what that does that just -- it facilitates new business is what it does.
Tyson Lee Bauer:
Kansas City Capital Associates: Is it not just an accordion feature that, okay, this is going to be a cost-plus type contract or otherwise. So we can expedite the process on getting orders and getting production out to those customers?
Robert P. Capps: That's correct. So you've agreed to standard terms and conditions. You may have agreed to some pricing parameters as well. So it certainly facilitates -- makes it much quicker for new order to come through. That's definitely been our experience.
Tyson Lee Bauer:
Kansas City Capital Associates: Okay. New streamer system coming on later this year. The interest you've garnered so far, have you been able to go out and demonstrate this to your customers? And what causes the customer to go with the older technology as opposed to the new technology that's coming or the new system that's coming? And will we start to see preorders for that as we get toward the back half of the year?
Robert P. Capps: I don't want to get too deep into that for some competitive reasons. But I would say it's more of an enhancement of what we have. It's not like a totally new technology. It's more of an enhancement and allows us to address some additional markets. And let me just leave it at that at this point and not get too detailed about that.
Tyson Lee Bauer:
Kansas City Capital Associates: Okay. And are you seeing bid margin trends favorable? -- as we're going forward? Or are they pretty stable?
Robert P. Capps: I'd say they're fairly stable. We have some ability to expand those, but it's fairly stable overall, I'd say.
Tyson Lee Bauer:
Kansas City Capital Associates: Outside of -- last question for me. Outside of the normal course of marine seismic activity that renewable energy, offshore wind, rare earth elements, oil and gas, all those things. You mentioned new opportunities and expanding kind of your addressable market. Any additional color you want to throw on that?
Robert P. Capps: Well, I think we've talked a bit about this. In the past, we look at taking some of our technology into a more maritime security application, military type application. We pulled back on that as we try to refocus the company to become profitable, which we've done. So that's an area that we're reexamining today as to how we might we think that basic concept is still very valid. So we are just looking at how do we best address that and maybe reenter that marketplace.
Tyson Lee Bauer:
Kansas City Capital Associates: Okay. And that goes beyond your AI spectrum and your oceans agreement that you have. This is...
Robert P. Capps: Core product...
Operator: Our next question is from Ross Taylor with ARS Investment Partners.
Ross Taylor: First, congratulations on the real improvement on the balance sheet and picking up on Tyson's line of reasoning 20%, 25% value of the tax losses add to your cash, you really have a company selling at $3 or less a share in the marketplace with a lot of earnings power seems at the market still hasn't quite picked up on that, but eventually, they will. But you guys have done a great job. So can you give us an idea of what's going on with -- on the $5.5 million, what impact did that have on your unrecovered costs? Obviously, at this point, you've built out -- it sounds like you built out a lot of that, had much of it ready to go, weren't able to ship it out. How did that impact earnings in the quarter?
Robert P. Capps: Well, it would have been another $5.5 million of revenue at least at the margin that we demonstrated. So there's another about $2 million of operating profit or gross profit. So...
Ross Taylor: Yes, it would have been on the gross profit level, something like $0.25 a share or something of that nature.
Robert P. Capps: That sounds about right.
Ross Taylor: Yes, which once again goes to the power. And as I said, congratulations on that. And you announced an order yesterday. Can you give us an idea how has the backlog moved since the end of the quarter you're reporting today?
Robert P. Capps: Gosh, I want to be careful what I say there is because we add and subtract things every day. So there's things going in and out all the time. That certainly is an add to the backlog. What's interesting about that, Ross, is that's a prospect that frankly, if we're having this discussion 2 months ago, that wasn't on our radar. So that's really interesting to me that that's a new opportunity that's arisen recently. And there's been some others that we've now have visibility on. I don't have the order yet, but we have visibility of prospects that we didn't have 2, 3 months ago, which that's really encouraging me. Now some of that is a next fiscal year activity for sure, but that's still good news, I think.
Ross Taylor: So when you say it's a new customer, is this a situation where they are -- is it a new use? Or is it someone in one of your areas that you're currently operating that you had not been doing business with that is now doing business with you?
Robert P. Capps: It's -- I wouldn't say it's a new customer, someone we've done business with in the past. And so they were an existing customer, but it's a new need for them.
Ross Taylor: Okay. Interesting. Interesting. We were talking about, obviously, with your tax losses, you talked about you've been building up your Texas repair refurbishment capability. A couple of things. One is how much money have you put into that facility? And how does that coming to being brought online impact your income statement and the cash flows?
Robert P. Capps: So we've spent roughly, call it, $0.5 million to expand that. That's in rough terms over the past 9 months or so, something like that. Just about done with that. We think the activities there will then start to ramp up. We won't turn it on completely, but we think this can be several million dollars a year of additional revenue for us. Again, starting here soon and then kind of ramping up through the balance of this year and into next year. And to your point, that's a nice piece of business for us and that it's more recurring, more predictable and also it's U.S.-based. So it helps us utilize those tax losses.
Ross Taylor: That's just where I was going with that, the fact that it's actually going to start to help build that up and therefore, that income will have a significant -- will be tax advantaged here in the U.S. for you.
Robert P. Capps: Correct. That's right.
Ross Taylor: Okay. So in looking at this whole situation also, I noticed it was brought to my, you guys have an arrangement or announced an arrangement or you guys actually didn't necessarily with -- I think it's a German company, [ GWL ]. Could you give any background? What is that tied into?
Robert P. Capps: So again, we'll have more to say about that later. But that is a company that has a new product concept they're working on, and we're looking to partner with them to bring that to market and kind of jointly promote that. But we'll have more to say about that in the near future.
Ross Taylor: Okay. I mean I just -- it is interesting because you've been talking and Tyson asked you about this. Your comments even on your release talked about new opportunities. And it sounds like new opportunities is both new customers, but also new business lines. Is that correct?
Robert P. Capps: Absolutely. I mean one of our objectives is to expand our offerings. So we have more kit to offer our existing customers and new customers. So yes, most definitely, that's part of the strategy, most definitely.
Ross Taylor: Okay. I think Tyson pretty much got everything else that I was looking at. My long list of questions tends to become very short once he's spoken. But no, I think, as I said, I congratulate you guys on what you've been doing. It looks like as Tyson brought out, the fact is that the financial assets of this company are worth basically well over half or half of the value of this business right now. And it seems to me that you guys -- is it safe to assume that when we're trying to look at you for a model you for a year instead of a quarter, is that $48 million to $50 million revenue for a year or something? I mean, I look at this number, and this would have been over if we had done -- if we've gotten everything shipped, this would have been a $13-plus million. You had a strong fourth quarter. Honestly, this is a stronger quarter than I thought it was going to be ex the inability to ship. Is that the type of thing we should be looking at when you're talking about numbers being that we should be able to be pushing up towards that $50 million annual run rate?
Robert P. Capps: Yes, roughly. I think we'd be real happy with that if we got to that point this year. That's 2 years in a row going in that direction. But I mean, that's -- order of magnitude, that's where we are, I think.
Ross Taylor: Okay. And your margins should be in line to perhaps a little bit better as we push forward.
Robert P. Capps: Yes, I think that's right. Margin...
Ross Taylor: Yes. You guys have done a great job. The company is worth a lot more than it's trading at.
Operator: [Operator Instructions] Our next question is from [ Gregg Hillman ], private investor.
Unidentified Analyst: I wanted to ask you about the sale of Klein Marine Systems. I think it went for like 2x revenue, roughly, something like that. And I was wondering if in terms of metrics for what the value of your company is now, would that fall into that area?
Robert P. Capps: Wow, Gregg, that's a tough one. I mean I guess you could make that assumption, but there's kind of different markets, kind of a different situation, different buyers. So I think that's not necessarily a metric that would apply, but it is one data point for sure.
Unidentified Analyst: Okay. And the -- just in terms of the sale, did you have an investment bank or line up strategic buyers and financial buyers and bid that out? Or was that sold in some other way? And did your need for cash at the time affect the price?
Robert P. Capps: We did have a banker assist in the process. But I would say it's more we identify potential buyers and approach potential buyers. They're all industry partners, we knew. So it wasn't like an auction, the typical investment banker process. We certainly were in a different financial position then. And so we had a need, we think, to make that transaction. So I think that certainly did have some impact on our motivation. So did it impact the ultimate price? Who knows? But certainly, we were motivated to sell.
Unidentified Analyst: Okay. And just another thing, basically, is offshore drilling more environmentally friendly than fracking onshore?
Robert P. Capps: Gosh, I'm not sure how to answer that. That's a huge question. I mean I think there are opinions on both sides of those arguments for both things. So I'm not sure you can kind of compare the two. I think there are issues for both to be addressed or to be aware of, but I think they both are overall very safe and very effective. And so I think the concerns are, in my opinion, at least are over talked about.
Unidentified Analyst: Okay. And just another kind of macro thing. I think 37% of world oil production comes from offshore. How is that trending over time? Or where do you see that going?
Robert P. Capps: Well, I think that trend continues probably to increase. I think what we're seeing is the general attitude or general trend in offshore exploration is positive from a long-term standpoint. And there are short-term disruptions and the price of oil today, really, in my opinion, doesn't impact what people are doing from an exploration standpoint because it's much longer-term horizon. So I think the general trend is one of being pretty bullish about offshore exploration and offshore production.
Unidentified Analyst: Okay. And those companies that have databases of mapping and sell out the databases, do you have any like valuable data that you sell?
Robert P. Capps: No. We -- all we're doing, Gregg, is providing equipment that people use to gather data. We don't gather the data. We don't have the data at all. That's not what we do.
Unidentified Analyst: Then what's that software business that you have to -- I didn't quite get. What does that do? Like don't you have like a software suite?
Robert P. Capps: It was something we actually retained from the Klein sale with our Spectral AI. That's really limited to side-scan sonar, and we actually are promoting that through the company that bought Klein, General Oceans. So that has not produced significant revenue at all to us. It's been de minimis so far. So I wouldn't put a lot of value on that on a go-forward basis. I think it's something that's interesting that might be able to generate some things in the future, but it's not really our focus right now.
Unidentified Analyst: Okay. And then finally, could you say something on the human resource side of the company, what you're doing to develop people? And also whether you have really like superstar engineers that can come up with patentable stuff?
Robert P. Capps: So we're a company of 150 people or so roughly around the world. We have really smart engineers of all sorts that help develop new things. We've got really smart production people. We've got really smart admin people. So we try to give these guys the tools they need to do those jobs give them a good career path. Most of our employees are outside the U.S., as you might imagine. So a little different environment in some cases. But I wouldn't say there's 1 or 2 superstars that we keep locked in the closet to kind of develop new things. I think we have a broad bench of really good people that do those sort of things for us.
Operator: That will conclude our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Robert P. Capps: Okay. I'd like to thank everyone for joining us today and look forward to talking to you again here in a few weeks, months after our second quarter. Thanks very much.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.